Operator: Welcome to the Amyris First Quarter 2021 Financial Results Conference Call. This call is being webcast live on the Events page of the Investors section of the Amyris’ website at amyris.com. As a reminder, this call is being recorded. You may listen to a webcast replay of this call by going to the Investors section of Amyris’ website. I would now like to turn the call over to Han Kieftenbeld, Chief Financial Officer of Amyris. Please go ahead.
Han Kieftenbeld: Thank you, Ellie. And good morning and good afternoon everyone. Thank you for joining us today. With me are John Melo, President and Chief Executive Officer; and Eduardo Alvarez, Chief Operating Officer. This morning, John will provide a business update, Eduardo will share operational performance highlights, and I will review our financial results for the quarter and the full year. Please note that on this call you will hear discussions of non-GAAP financial measures, including but not limited to underlying sales revenue, gross margin, cash operating expense, and adjusted EBITDA. Reconciliations of these non-GAAP measures to the most directly comparable GAAP financial measures are contained in the financial summary section slides of the accompanying presentation or the press release distributed today, which is available on our website. The current report on Form 8-K furnished with respect to our press release is also available on our website as well as on the SEC’s website. During this call, we will make forward-looking statements about future events and circumstances including Amyris’ 2021 outlook, goals, and strategic priorities, as well as market opportunities and growth prospects. These statements are based on management’s current expectations and actual results and future events may differ materially due to risks and uncertainties, including those detailed from time-to-time in our filings with the Securities and Exchange Commission, including our 10-Q for the first quarter of 2021. Amyris disclaims any obligation to update information contained in these forward-looking statements whether as a result of new information, future events, or otherwise. Before we begin today, I’d like to note that included in our webcast is a slide presentation we will refer to. The slides will also be posted on the Investor Relations section of Amyris’ website following the call. I’ll now turn the call over to John.
John Melo: Thank you, Han. Good morning everyone and thank you for joining us today. I'll start by providing a business overview, I'll then cover our recent strategic transactions, and the acceleration of our market leadership. I'll provide an update on our consumer business and its key growth drivers. And lastly, a few comments regarding the new strategic partnership we announced earlier this week with Ingredion. We've delivered significant value during the first quarter from continued product-related revenue growth and the completion of the second strategic ingredients transaction, resulting in record revenue of at $177 million, gross margin of 91%, and significantly positive adjusted EBITDA of $103 million. First quarter product revenue was up 47%, driven by strong consumer revenue growth. We further reduced our debt position by 33% to $115 million, and since the close of the first quarter, per our commitment, we completed the third strategic ingredients transaction with an estimated value of $100 million and a successful equity raise of new proceeds of $131 million. All these factors combined, significantly improved our capital structure, solidified our liquidity, and provides financial flexibility to accelerate our growth. We believe we are the first company to achieve self-sustainability with strong cash generation from our assets and technology, and we have the balance sheet to continue delivering, industry leading growth and further expand our technology leadership. The role of synthetic biology for our planning was bigger than any one company. The way most things are made and what we live with today is not sustainable. There is a tremendous consumer pool toward clean, natural and sustainably produced products. We are leading this transition to clean chemistry, just like Tesla has led the transition to the electrification of transportation. We are the leaders of bio manufacturing and believe that we have delivered more bio manufactured products then the aggregate of the entire sector. Most companies in our sector do not have the benefit yet of a portfolio of scale and commercialized products. This is their aspiration. Last year alone, we manufactured and sold more bio based, sustainable products than all of the companies in our sector. This is our clean advantage. And one of the reasons companies like DSM, Ingredion, Firmenich, Givaudan, L'Oréal, Shiseido, Natura, Estée Lauder, Sumitomo, and many others partner with us to make and supply them clean, bio manufactured material from fermentation. As evidenced by our partnerships, company seek us out to help transform their supply chains, lower their costs, and meet the needs of their customers for sustainable sources of supply. The competition is the establishment, the suppliers of traditional chemistry. Most of our peer group has promising technology at the lab stage. However, if you have been able to demonstrate an ability to convert this into commercialized products that can be produced at industrial scale, we are the bio manufacturing sector leader with a proven business model that we believe has attained self sustaining growth. We are in a consumer supercycle for beauty and luxury. This is global in nature and a result of mega trends driving a significant acceleration to healthy skin and a deep commitment by the consumer to personal health and wellness. During previous investor calls, we discussed the four areas of growth for our consumer brands. First, new product launches; second, exclusive formulations and ingredients; thirdly, expansion of showing doors and square footage space in retail stores; and fourthly, geographical expansion. So far this year, we have added five new brands that address fast growing market segments in the beauty and personal care space. This includes haircare with JVN and clean color cosmetics with Rose Inc. We are also adding specialty skincare brands including Tarasana for skincare treatments, like Acne, and Costa Brazil, a clean luxury skincare brand, as well as eco fabulous for the Gen Z consumer, who's focused on clean, sustainable beauty. We have become the house of billion dollar brands for clean, sustainable products that are accessible to consumers and deliver the best performance for their health. This is a deep capability that starts with our leading lab to market science platform are clean bio manufacturing, and an award winning formulation product development team that continues to deliver differentiated products that are loved by our consumers. The future of health, wellness and beauty is clean, and we are leading this path for consumers. The first quarter was very strong for our consumer business, and this has accelerated into the second quarter. We are at over 4000 new retail doors for our brands versus our 2021 target of 2000 doors. Our directtoconsumer.com business has continued to deliver much better than industry growth and heading into the second quarter brick and mortar sales have returned with very strong performance. Our support sales are now delivering better than pre-COVID growth rates. We are very pleased to benefit from the return to strong retail store buying in luxury and beauty without losing the strong.com performance we delivered through the COVID period. Recently, we announced the five year partnership with Reese Witherspoon as global brand ambassador for Biossance. Reese, the Biossance brand team and its industry leading scientists will create content that is engaging and educational, empowering today's beauty community to become savvier more health conscious consumers. We are experiencing significant consumer growth for our Biossance.com business and a very strong positive impact to revenue from this partnership with Reese even in its early days. In addition to the very strong consumer performance in the US, we expect China revenue this year will be more than all -- for revenue last year. The development of the Rose Inc brand has progressed very well. Rose Inc will launch selling in the third quarter and already has a strong retail order book from our various channel partners have more than $6 million. We are seeing strong interest in this new clean color cosmetics brand. We have industry leading product formulations. This is a beautiful brand with amazing clean color cosmetics at a time when the consumer is entering the worry 20s and rekindling their love for color cosmetics experiences. We are also experiencing significant demand for our JVN clean care brand partnered with Jonathan Van Ness. We will bring the JVM brand to market in the third quarter. Our product developers and formulators have done an outstanding job capturing the brand essence of clean and simple formulations delivering a truly differentiated product taking full advantage of clean ingredients we developed and manufacture. We develop and formulate our consumer products and own our formulas. We have deep knowledge in formulating clean ingredients for them to deliver the best efficacy of any product on the market. I can tell you, I have now started using JVN shampoo and conditioner and I will never switch back to another shampoo. It is a game changing experience. I'm very pleased to announce today, our partnership with Renfield [ph] manufacturing. They are a proven manufacturer of cosmetics and beauty products. And we are investing with them in a manufacturing and fulfilment Centre for our consumer brands in Reno, Nevada, not far from the Tesla mega factory. We expect to start manufacturing there in the fourth quarter of this year. We expect to evolve around 70% of our consumer products from various contract manufacturers into this location and expect this to reduce our consumer brands cost of goods by about 10%. Additionally, we expect to improve our speed to market and our flexibility and quickly adapting to the needs of our retail partners and consumers. We have more demand today from our consumer business than what we've been able to supply over the last several quarters. And we want to structurally address this. We are very pleased to work with Renfield manufacturing and very excited to start delivering products from our Reno fulfilment Centre in the fourth quarter. Our consumer business is performing better than expected this year. And we expect this business to be around $300 million in 2022 revenue while continuing to more than double annually for the next several years. This is our track record. We've been able to grow our consumer business shooter three times a year for the last two to three years, and we expect at least doubling our revenue for the next several years in the consumer business. We've made tremendous progress on the evolution of our ingredient portfolio over the past five months. In the first quarter, we announced the largest ingredient transaction in our history, which further validated the value we have long associated with our ingredient portfolio. This is a significant acceleration of our collaboration strategy and established a powerhouse for clean, natural ingredient that are sustainably sourced for the personal care and flavor and fragrance industry. This is definitely not a monetization strategy. We have now demonstrated an ability to capture around $100 million in value on average for each molecule in our portfolio. We have 24 molecules in development and scale up and expect these to all reach full scale commercialization by 2025. In addition, we have over 250 molecules in our current pipeline, where we have successfully engineered a strain and demonstrated successful production in fermentation. These are ready to advance the full development and scale up. We have successfully worked with multiple organisms. We make organism choices based on what's best for large scale industrial fermentation. We are the largest producer of bio-manufactured material. We are no longer in the academic discussion how many organisms we work with. We are focused and need to deliver products to our customers every single day. We select and adapt to what organism works best for the molecule we need to deliver at industrial scale and deliver sustainably to our end markets. Consistent with our previous communication, we have now completed three strategic transactions involving four different partners, namely Firmenich, [Indiscernible] DSM and now also Ingredion. The first two transactions, we close represent an estimated value of more than $550 million in short and medium-term contributions. The upfront cash was $190 million for the two combined transactions with which we paid down $23 million in debt. We expanded the collaboration with Firmenich by 15 years and deepen the partnership with [indiscernible]. The technology and development of these relationships remain with Amyris. We expect an additional 10 molecules for development with these partners that include our technology and would be scaled and produced by Amyris long-term. We have long-term supply agreements that represent an expected $2 billion in revenue for the remaining term of our long-term manufacturing agreements. The third transaction that we announced on Monday of this week is with Ingredion. I'll cover the details of this new partnership in just a moment. As it relates to our manufacturing capabilities, I can confirm that our engineering and operations team continues to work hard on the construction of our new ingredients plant in Barra Bonita, Brazil. We expect to complete construction by the end of this year and be producing early -- in early 2022. We expect to update you on our long-term capacity expansion plans for our fermentation footprint during the second half of this year. Let me update you on the third of the three strategic transactions, which is with Ingredion for the exclusive licensing of Amyris's zero-calorie, natural – nature-based fermented Reb M sweetener. The combination of Amyris's leading synthetic biology technology platform with Ingredion’s global market and customer reach and formulation capabilities, we’ll accelerate the availability and adoption of zero-calorie nature-based sweeteners another clean labeled fermentation based food ingredients to the world's leading food and beverage companies. We have the leading zero-calorie, natural sweetener, and the only one produced from non-GMO sugarcane. Ingredion via its pure circle subsidiary will become the exclusive global business-to-business commercialization partner for Amyris's sugar reduction technology that includes fermented Reb M. The parties will enter into an R&D collaboration agreement to create an advance, the development of sustainably sourced zero-calorie nature-based sweeteners and potentially other types of fermentation based food ingredients. Ingredion will become a minority partner in the Amyris Brazilian manufacturing facility that is currently under construction. Amyris will continue to own and market its Purecane consumer brand, offering of tabletop and culinary sweetener products. The transaction value is estimated to be around $100 million comprised of both short and medium-term contributions from Ingredion. This includes $75 million for the exclusive license to sell or market Reb M from fermentation, along with a participation in the Brazil manufacturing joint venture. Additional value is expected from future profit share from Reb M sales and R&D collaborations. We expect about $1 billion in product revenue from this partnership over the next 15 years. From the three transactions, we estimate about $3 billion in potential product revenue over the next 15 years. We believe this to be more than the product revenue of the entire industry over its history. We are continuing to lead the sector in revenue growth, we expect to deliver underlying revenue of around $250 million this year, and total revenue of around $400 million this year, when including the completed 2021 strategic transactions and the GAAP revenue in this year from these transactions. Our business model is delivering on the promise of synthetic biology. Ingredients such as Reb M from fermentation create significant value and enable us to support the continued growth in our consumer business, while maintaining our sector leadership in the supply of natural, sustainably sourced ingredients. With that, I'll turn the call over to Eduardo. Eduardo?
Eduardo Alvarez: Thank you John. We had a very good first quarter, delivering product revenue of $28 million, which is a 47% increase over the same quarter last year. From a safety perspective, we had zero recordable incident in this quarter and we continue to be very vigilant of our management of COVID and had no operational impact from it during this quarter. Today, I am going to review three items with you. First, I will provide an update on our Ingredion production. Second, I will explain how our consumer operations continues to drive industry leading growth. And third, I will discuss our strategic priorities, for the year We had a breakthrough quarter for squalene. In fact, we just set a quarterly production record in our history. We delivered 500 metric tonnes in production and sales for this quarter, representing an 83% increase, compared to our Q1 2020 figure. There were three major reasons for this. First, we had a 60% revenue growth in Europe, where we converted new brands like Lvmh, while increasing usage and formulations at current customers like L'Oreal. Second, we capture tremendous growth in China. As John mentioned, we continue to see many Chinese brands like, perfect dairy, converting their formulas to squalene. We also compete at a squalene supply agreement valued at $19 million over the next two year period. Finally, we continued with our content and leading customer engagement. And now have a record lead generation with 1,500 active leads. During the quarter, we also ran our second CBG campaign. As we mentioned in the recent investor Mini Series, this campaign delivered outstanding results. We deliver volume that was six times bigger, and unit costs that were about one-fourth, one-fourth the costs of the first campaign. And all of our CBD production was sold out in Q1. We also competed, our largest campaign today for our sweetener product. This campaign delivered 250% of the volume from our last campaign. And our processing yield was 25% higher too. As John just mentioned, we are very excited to enter into an agreement with ingredient, where we will continue to produce our rebound and leverage ingredients, natural solutions capability and global reach. Now let me spend time on our consumer operations. We deliver 73% revenue growth across brands. For Biossance, our e-commerce volume tripled over the quarter, over the same quarter in 2020. I mean now represents over 70% of our current orders. We continued our operational improvements and fulfillment. And our Valentine's and friends and family campaigns in the first quarter were very successful, delivering 250% more ecommerce orders than last year's. We also introduced four new Biossance products in Q1. For Pipette, we continue with excellence momentum, opening three new retail channels, including anthropology, K.E. and 607 Target Store locations nationwide. At present, we have 13 distinct retail and e-commerce channels. And our volume was five times larger than the same quarter of last year. Clearly, we are seeing tremendous momentum going into the rest of the year. Looking ahead, our plan for launching our announced five new brands remains on track. And operationally, as John mentioned, we have began to scale our production and distribution to meet that growth. I will be expanding on these actions in our next quarterly reviews. Let me now shift to our strategic priorities. Starting with our plant, we continue to be on track for completing construction by the end of the year. And in the first quarter, we completed sourcing all the long lead items, and began construction and foundation work for our inpatient area, and for our power and infrastructure operations. We now have over 100 people working on site and our single biggest risk and priority remains COVID management. We continue to manage the operation with the strictest protocols. Second, our development of the squalene as an excipient and our collaboration with IDRI on the next generation advanced RNA vaccine for current and potential COVID variants. This effort continues to progress very well. Here's an update. We just completed an array of studies using both our sustainable squalene and shark derived squalene. And results showed comparable performance between the two sources and provided as another data point confirming that our sustainable produce squalene will be the best adjuvant -- the best excipient in adjuvant applications. Our RNA vaccine is delivering preclinical immunogenicity results comparable to other leading vaccines and it requires only one dose. Finally, we're entering the final stages of testing, prior to initiating phase one clinical trials. And we will look forward to sharing additional results soon. Now, let me close with the focus areas for the remaining of 2021. We need to complete construction of the Barra Bonita plant by the end of the year. Second, we need to ensure continued scale up of our new products with special focus on the squalene production at metric scale, the RNA vaccine advancement to clinical trials and the continued sales growth and market development for a clean Bonsucro ethanol. The final priority for us is to ensure the successful launch of our five new brands in the third and fourth quarter. This will require us to continue to add more scale and resilience to our fulfillment and production model for our consumer business. We are off to a strong start to 2021 and we look forward to executing against our growth agenda on priority. With that, I will turn the call over to Han to review the financial results. Han?
Han Kieftenbeld: Thank you, Eduardo. And let's turn to slide 12. I'm pleased to report that we had a very successful quarter with record sales revenue, expanded gross margins and significantly positive adjusted EBITDA. We deliver significant value during the first quarter from continued product related revenue growth and the completion of the second strategic ingredients transaction. This resulted in record revenue of $177 million gross margin of 91% and significantly positive adjusted EBITDA of $103 million. Q1 product revenue was up 47%, driven by strong consumer revenue growth, we further reduced our debt position versus year end 2020 by 33% to $150 million. And since the closing of Q1, we signed the third strategic ingredients transaction with an estimated value of $100 million and a successful equity raise of new proceeds of $131 million. All these factors combined, significantly improved our capital structure, solidified our liquidity and provided -- and provide financial flexibility to accelerate growth of our business. Total Revenue of $177 million was a new record and included proceeds of $144 million related to the strategic ingredient portfolio transaction. Total underlying revenue, comprising product sales and collaboration revenue increased 37% to 33 million, compared to the prior year quarter. Product revenue of $28 million increased $9 million or 47%, compared to Q1 2020, driven by a $6 million or 73% increase in consumer sales, and a $3 million or 25% increase in ingredient sales. Gross Margin of $161 million or 91% of revenue improved from $80 million or 63% of revenue in Q1, 2020. Excluding the $144 million contribution from strategic transactions, gross margin of $17 million increased by $4 million compared to Q1 2020, mostly due to product related margin growth. Cash operating expense of $54 million increased by $9 million, or 21%, compared to the prior year quarter, due primarily to marketing investments in the expansion of consumer brands and additional R&D spent. G&A expense was down 3% compared to the prior quarter due to lower expense in finance, HR and legal. Increased expenses in selling were related to investments for the setup of new brands, marketing and fulfillment and distribution expense due to increased sales activity. T&E expense continued to be down due to COVID-19 travel restrictions. Adjusted EBITDA was $103 million and improved $130 million year-over-year, due to income from the Q1 strategic transaction. Increased underlying revenue and also improve product margin. This was partially offset by higher operating expense. GAAP net earnings were minus $289 million due primarily to a $377 million of unfavorable non-cash mark-to-market adjustments related to changes in the fair value of debt and derivatives. GAAP EPS of minus is $1.08 compared to minus $0.56 in the prior year quarter. Adjusted net earnings of $95 million, or $0.35 per share, compared to adjusted net earnings of minus $44 million, or minus $0.28 per share for the prior quarter. The company record a non-GAAP adjustments totaling $384 million in Q1 2021. This relates to the $377 million I just mentioned in terms of non-cash mark-to-market adjustments. Cash at the end of the quarter was $144 million, and this compares to $3 million at the end of Q1 2020. This includes $123 million in net cash from the Q1 strategic transaction after paying down $23 million in debt and $4 million expense. Total debt principal at the end of the quarter was $150 million, which compares to $209 million at the end of the same quarter last year, and the $170 million at year end 2020. Interest expense for Q1 2021 of $6 million compares to $15 million in Q1 2020 due to lower debt. Now let's turn to Slide 13. Q1 product revenue of $28 million grew 47% versus the prior year quarter, consumer revenue of $16 million grew 73% and ingredients revenue of $13 million grew 25% versus prior year. Biossance continue to see strong sales activity from its online channel with 70% of revenue from e-commerce and prepared deliveries best quarter yet it was at 5x versus Q1 2020. Purecane also set a new record. Ingredients saw strong revenue from scaling for B2B cosmetic applications and recorded its strongest quarter yet. Let's turn to slide 14. I have commented already on the various key financial metrics. The key takeaways from this page as relates to our first quarter financial performance can be summed up with five simple points. First, we continue to grow revenue. Second, we enhanced product margins for growth and consumer and efficiencies and ingredients. Third, as a result, adjusted EBITDA was up. Fourth, we much improved the balance sheet with debt down significantly resulting in lower debt servicing expense. And lastly, we finished a quarter with total cash of $144 million. As I previously mentioned, since the close of Q1, we have successfully – we have a successful equity raise with new proceeds of $131 million. This resulted in a current cash balance of around $235 million, not including any proceeds from the ingredient transaction that we announced earlier this week. Let me now turn to the outlook for full year 2021. We have a number of activities on the way to continue to support the growth of our business, and to ensure we execute effectively on the strategic transactions, the addition of the new brands and the continued development of our product development pipeline. Our current outlook for 2021 is that we expect underlying total revenue, which is consumer, ingredients and collaboration and grants to be in the $250 million range. When adding income from the completed strategic transactions, we expect total reported revenue to be around $400 million. We expect the strategic transactions to be mostly accretive to revenue and earnings resulting in positive full year adjusted EBITDA. We expect to continue our work on the balance sheet and expect debt to be below $100 million by year end. This includes a $50 million convertible to equity, i.e. net deposition of $50 million. With that, I’ll turn the call back over to John.
John Melo: Thanks, Han. Thank you. We believe that we have a truly winning business model and advantage portfolio due to the synergy between our proprietary lab to market operating system, our ingredients pipeline, and a track record in bio manufacturing along with our portfolio of clean consumer brands. Consumers are demanding natural products that are clean and sustainably sourced. This is true for all consumer goods including beauty, personal care, health and nutrition markets. We deliver better performing molecules at a lower cost, and they're sustainably sourced. This is our no compromise promise for customers and consumers that is delivering industry-leading growth and margins. To make the world sustainable, our company needs to be sustainable. The simplification and growth of our portfolio and our continued operational performance enables us to become one of the first companies in our sector to become financially self sustaining. We're very excited about the year ahead, and I look forward to hearing your questions. Ellie, please open the call for questions.
Operator: We will now begin the question-and-answer session. [Operator Instructions] Our first question today comes from Colin Rusch with Oppenheimer.
Colin Rusch: Thanks so much. And guys, congratulations on all the progress. I want to dig into the yield improvements that you're talking about. That seems like a pretty meaningful improvement here. And can you speak about the underlying drivers and how we should think about the cadence of that as we go forward and kind of ongoing, you know, regular yield improvements even beyond those you’ve spoken with?
John Melo: Colin, hey, great to have you on the call, and I'm going to ask Eduardo to help out. I'll summarize and give you three big drivers of the improvements, and then have you Eduardo give you a little more color. So there are three things that are really driving the significant improvement in gross margin and the yield improvement for our production. And, you know, I'd say first, we obviously have a new generations of strains, specially for some of our high value products, CBG and vanillin b, and a couple of great examples and also WEBM [ph], those are three great examples of new generation of strains. So that's point one. Point two, we've done a lot to improve and see continuous improvement in our downstream processes, the chemistry that polishes and cleans the molecules that come from fermentation. And that is a second big driver. And the third, really the biggest contributor that we haven't yet started to see the full benefit of, but you will see, as we approach the beginning of 2022, is actually what happens when we consolidate the fermentation and the downstream processing into a single site at Barra Bonita and eliminate the need for transportation and a need for off-site finishing of our products. So think about that as a structural change in how we actually operate manufacturing first. Secondly, downstream process improvement. And then last, but not least strain improvement. And those three are the key drivers to our continuous improvement in yield and productivity. Eduardo, a little more color if you'd like to jump in.
Eduardo Alvarez: Yeah, absolutely. And Colin, thanks for the question. We as you know every time we run a campaign, we look at the settings and ours is a precision manufacturing activity. So as it relates to what John mentioned from the process side, we adjusted the settings in our upfront filters to for maximum performance, and that includes temperature, pH and various other settings. The second part to it, as we just discussed, is really balancing our flow, we got a lot better at adjusting the flow between the front end or the purification to the back end including the filter press and the drying. And I think as it relates to your comment about the future, we have a learning process excellence approach to everything we do. And that will be continued to be an effect. But I think we will expect additional significant improvement when we call okay. Clearly, today we ferment in one side and we purified another and that does include that does introduce a level of additional improvement that we hope to capture as we open our new Barra Bonita plant Colin.
Colin Rusch: Perfect. And then this one's may be for Han, just around CapEx and the build out of the new facility. Obviously commodity prices are moving all over the place. We've seen a tremendous amount of tightness in the labor market. Can you speak to your kind of visibility to the CapEx numbers, cadence of the construction any concerns and bottlenecks that you're seeing right now?
Han Kieftenbeld: Yeah, thanks, Colin. And yes, we do. We have a very strong governance around this. We meet on a weekly basis with the project team. We manage a tight budget, particularly as it relates to the Barra Bonita facility, which is our biggest capital investment. So we're very much aware of going on from a foreign exchange real to USD perspective, and we're keeping close tabs on that. As Eduardo mentioned earlier, most of the long lead items have been ordered. And so we have those commitments out there. So yes, absolutely top of mind for us, very important projects, but -- and managing the budget within the guardrails is very much from a governance perspective and oversight and a planning perspective is very much top of mind. And what I can tell you is myself, Eduardo, and including John, were very closely involved with this project and watch it on a weekly basis.
Colin Rusch: Thanks so much. And…
John Melo: Yeah. The only thing I would add to Hans comments and I was just in Brazil in the last couple of weeks, and I can tell you the project is on track. It's within budget. I think we said about 70 million for plants that will generate 200 million of product revenue. And now with our expanded agreements to manufacturer long term and supply the industry we're very focused on getting this plant out of the way and looking for what the next expansion looks like. But that's – I just want to confirm that it's on track, on budget, and we expect to stay that way. 
Colin Rusch: Fantastic. And then just given the dynamics in the agricultural sector, where commodity prices are trending, obviously, sugar is not anywhere near historic highs. But it's off lows, can you speak to some of the risk management around input prices and supply access that you guys are putting in place as you move forward and start growing a little bit more aggressively?
John Melo: We have again, a locked in structure for pricing with our partner in Brazil, Hazen [ph] which is obviously one of the biggest producers of sugarcane in Brazil. And, you know, we look at it carefully. At this point, I'd say we're very comfortable with the natural hedge of currency and commodities being kind of offsetting each other in Brazil. So we don't see any pressure in the short term. And we obviously keep a close eye on that Eduardo and his team, obviously focus on that regularly.
Colin Rusch: Okay. Great. Thanks so much, guys.
Operator: Our next question comes from Doug Schenkel with Cowen.
Doug Schenkel: Hey, good morning. Thank you for taking my question. So I want to start with a guidance question. Specifically, I want to dig in on the full year guidance update. If I have it right, you had previously indicated that you expected 35% of core revenue in the first half. I mean, our model, we had a little bit more in Q1 than you generate it. But that said, it could just be that we were a little too aggressive early in the year with our forecast. So that's probably more us than you. But that's all that said, guidance implies you're expecting a pretty robust ramp and revenue from Q1 to Q2 and even more in the second half. This is especially true given you actually increased underlying core revenue guidance for the year, I think by about $10 million. Can you just help us better understand the pacing dynamic? And maybe more importantly, what gave you confidence to actually increase this target, especially as you're, I think expecting a bit more in the second half of the first step.
John Melo: Let me let me start Doug, and then I'll let Han provide any underpinning detail. Look, the big picture is really around three key drivers that are – that are really doing well for us right now and giving us confidence on that base increase. And I think you nailed it. We basically are increasing by about 10. The revenue from our base business this year, and the three drivers for this, we have five new brands coming into selling starting at the end of the second and then obviously major activity in the third quarter. When we look at the demand, I mean, there's one simple example we have one brand that we acquired that a million dollars last year. We thought it would do 2 to 3 million this year. It's now tracking for $6.5 million. That's one example of an acquisition that we start benefiting from the revenue here in the second quarter and then obviously going through the rest of the year. When we look at Rose Inc., when we look at JVN, I mean, these are brands that are all starting with an order book, and retail environment that's much better than we expected. So that's one driver of us providing a slightly healthier guidance than we started the year with. Secondly, when we look at the Ingredion’s portfolio, the deals we've done with in Ingredion, with DSM, and then the other deals with Firmenich and Givaudan actually give us a better outlook than we expected earlier when we were thinking about the deals we were contemplating for the Ingredion portfolio. So robust ingredient performance and a structure that enables us to capture the benefit of that momentum going into the second half of the year and ingredients really driven by the end markets. The end markets for personal care and beauty are very robust right now. And we're seeing that flow through in greater demand. And, I think, lastly look our collaborations and the partnership portfolio we have is looking very strong, and we ended up with several additional molecules added to the portfolio that will drive strong collaboration revenue into the second half of the year. So those are the three drivers. I hope that helps. And again, happy for Han to jump in.
Han Kieftenbeld : Yes, John, I think…
Doug Schenkel: Yes, sorry, Han. Sorry about that.
Han Kieftenbeld : No, go ahead, Doug.
Doug Schenkel: No, I think you were -- I was going say it was pretty helpful and I'm guessing, Han, you were going were going to say that -- that probably covered a lot of it.
Han Kieftenbeld : Exactly. So please proceed.
Doug Schenkel: Okay. All right. So thank you for that. And then, I guess, just I'd like to talk a little bit about the pipeline. And then at a higher level, the process by which you're advancing the pipeline and other initiatives. So let me start on the pipeline. How many molecules total are in the pipeline as we speak, after the announcement of some of the recent collaborations? And how should we thinking -- how should we be thinking about timelines from discovery to development? It does seem like things are accelerating a little bit. So I'm just wondering if there's any updates you could provide there, because ultimately, it would be really interesting for us to think about, especially given some of the TAM updates? It'd be interesting to think about how quickly Amyris could start to recognize revenue from -- some of the pipeline molecules being created in conjunction with partners.
John Melo: Look, I think, we started the year with 18 in the pipeline. And right now we're running at about 24 in the pipeline. And by pipeline, we really mean active development and scale up. And so what that what that says is this year, I think, we'll have around four to six that end up going commercial. And then I expect to see somewhere around an average of six molecules a year between now and 2025, on average going commercial and generating revenue. So that's how you could think about timing to revenue. And they each have, obviously a different profile of how much revenue, but we know that, on average -- a molecule will deliver a million dollars in revenue its first year, and we have several that do much better than that, it really depends on the size of the market and the molecule we're putting in.
Doug Schenkel: Okay. And I'm going to ask this question, even though I might be better for another forum. But I think it's interesting to just think through. It's something that jumped out at us from your investor miniseries on Earth Day, which was really helpful. We're just wondering if you could share a little more about how your business development team is selecting and vetting profiles for new ingredients, replacing incumbent products versus differentiated chemical and mechanical properties, stability. I guess, we're just -- it does seem like if anything, the velocity of partnerships, but maybe just as important with verticals you're moving into is picking up. It would be interesting, just to hear a little bit more about how you're prioritizing given it does seem like there was a myriad of opportunities, which continues to grow.
John Melo: Look, I think, there's a mean, there's a few dimensions from an economic perspective. We obviously care a lot about time to market and cash to market. How much investment to generate the first cash, and how long will it take to get there? And that matters a lot, because we have a very tight resource pool of people and actually, more than anything, our space now is very constrained in our labs in Emeryville. So, we have to be really thoughtful about which ones we take on and we take the ones that we believe are profitable the fastest. I think the second is really the market structure and we look a lot at volatility of supply and price. And then demand structure and partner capability in that demand structure. What I mean by that is, we want people to partner with that our leaders for those specific ingredients or products -- have at least double GDP or better growth, and in markets that have an unusual or high volatility of supply and price, where the technology is advantage to perform it. So, I just said a lot there. I hope that made sense, Doug, but it's really three different dimensions. We assess the market structure, we assess the molecule and the dynamics around the molecule in the market, including the technologies capability, and then we address kind of the -- no compromise components of the molecule and our ability to really win with that molecule in the market.
Doug Schenkel: That's great, John. Thank you very much. Appreciate it, guys.
John Melo: Thanks Doug.
Operator: Our next question comes from Laurence Alexander with Jefferies.
Laurence Alexander: Good morning. Can you connect the strategic agreements with how you're thinking about the growth rate for ingredients? In particular, I guess two angles; one is through the likely near-term growth rate for the ingredients business the next several years. But then I guess as a second question, what kind of milestone thresholds out of that $3 billion target sales, what threshold does your partners need to hit for you to get the full value of the -- future value of the strategic transactions?
John Melo: I'll try to frame that answer in three parts Laurence. The first one is milestone payments and what we expect and that's all really driven on how the earn out was structured around certain molecules. And all of that is based on molecules in the market today and the performance over the next three years. And so we're pretty confident about that. And as you know, in total now, we have about $275 million of earn out payments coming over the next three years, when you look at the total of both deals. The second is the revenue component, which is what we -- the $3 billion number you spoken about and the $3 billion number is actually predominantly based on the molecules that are currently in the market, the FNF molecules, as well as the sweetener and the continued growth rate of those molecules over the 15-year period. So, nothing really different has to happen. I guess the only thing that can happen is if some competitor came to the market with a molecule that was lower cost and better performing than our supply and the partner decided to break the agreement with us, and then not deliver the growth. But as long as those things don't happen and we've got a pretty good sense of confidence that those things are pretty well in place, then we realize that revenue over the 15-year period. There is upside, right, that's the third component here is there's upside in two dimensions. We obviously have a significant number of molecules in discussion right now, with all of the partners that we just signed on, those molecules, the development payments for those molecules and the revenue -- the incremental revenue, and market opportunity for those molecules would be incremental to the outlook that we shared. I don't know if that helps or not, Laurence speaking about the three parts.
Eduardo Alvarez: Hey, John. John maybe, Laurence, if I may, just with one thing. This is Eduardo. I think beyond what John said on the product revenue side. There is also two things that I believe this new strategic agreements will help us drive that $3 billion number that you mentioned. One is small scale by retaining access to the product supply that John mentioned, we really will capture additional efficiencies, scales and also scaling raw materials that also will drive, help us keep the costs even more competitive and drive additional market demand.  And the second is, capabilities, right? I think part of attaining that incremental value is the fact that we're partnering in a way that leverages additional capability like this solutions capability that ingredients brings to the table beyond the high quality ingredient that we created. So I hope that helps, too. 
Laurence Alexander : And then just to clarify then the 10 molecules that you mentioned are in development. Would give it on inform -- I believe, that would be additional to the molecules you already signed a deal with them on? 
A – John Melo: That is correct. That is and it's a combination of Farnesene, Givaudan, DSM and ingredient all have new molecules for us to work on. And that is all part of that 10 selection, which is incremental to what's already out there and what we've made public. 
Laurence Alexander: Thank you. 
A – John Melo: Thanks, Laurence.
Operator: Our next question comes from Amit Dayal with H.C. Wainwright.
Amit Dayal: Thank you. Good morning, guys. Just a question on, the collaboration versus the consumer revenues. So with the consumer business now on a pretty strong footing, the collaboration revenues have been relatively stable at the 5 million -- $4 million to $5 million levels per quarter. Is this going to change because of these new sort of partnerships, or do you think your investments and resources would get a better ROI if we focused more on the consumer side of things? 
A – John Melo: Look, Amit, I think this is why – so Amit, by the way, thanks for being on the call. And let me try the question this way. For the partnerships, we've had, we actually got into a pretty stable funding and a pretty stable pipeline that's predictable for development. I think what you're going to see is some expansion around that.  And from a return perspective, we haven't really shared publicly, but we're generating about 10 times on our money for the molecules that we've put into these agreements with these partners, 10 times return on our money over what is probably a three to five year period depending on molecule. So we think that's not bad. It's obviously not as good as we're getting into the consumer side and the consumer side, look some of these recent acquisitions. I mean, we are getting significant returns fast because I think we're buying right, and we're buying interesting brands that are really having a lot of traction with the consumer And we like…
Operator: Looks like we might have lost, John's line. So please hold while he reconnect.
Amit Dayal: Yeah. We lost him. 
Han Kieftenbeld: Yeah. We lost him. We should proceed with the -- with the question. And then -- so Amit, please go ahead. If you have a next question that we… 
Amit Dayal: My next question is going to be around. Thank you, Han. My next question was going to be around, John's comments about around $300 million in consumer revenues in 2022. What will that mix look like? In terms of say, the beauty segment versus sweeteners and your other products that you have?
John Melo: You were asking about next year, correct?
Amit Dayal: Yes, yes, 2022, yes.
John Melo: Yeah. So Amit, of course, we expect the consumer side to continue to grow faster than the ingredient side. So if you think about it from a relative perspective, where we typically have and you notice historically more ingredients sale. This year, we will definitely have the consumer outpaced the ingredient segments. So what we said previously, I think, is that, where it used to be 40:60, it's now going to be more like 60:40. If you look at 2021, we expect that trend to continue. So think about it longer term, perhaps as two thirds, one-third and then as the consumer pace continues to grow both organically as well as perhaps by rolling out the brand portfolio by adding a few more brands, that's the direction we see from an overall portfolio composition perspective.
Eduardo Alvarez: The only thing I'd add on and by the way, sorry, I got dropped off, you would think that in Switzerland, telecoms actually worked really well. But the way I would think about, this is a really big picture, I have to look at. What are we building and where are we going to? And you look at 2025, I think we have a business in 2025, based on the current portfolio that generates $1.6 billion to $1.7 billion of revenue, and has a very solid 30%, 35% or so EBITDA, adjusted EBITDA, based on the business structure. And I think the business structure is all about really creating sustainable leadership. And in markets, where we believe synthetic biology is going to be a critical enabler of those markets based on what we see as the market dynamic or market structure for certain molecules and demand, demand patterns by the consumer. So, I don't like, I think so far, we've nailed it on strategy and structure of the market. And I think, we're going to just execute and ensure that we have that leadership position by picking the right partners, having the right molecules, generating more margin for the molecules than anybody generates today in our industry, and making sure that we continue to really be the leader in the markets that matter. I think beauty people ask like, why beauty? Look, beauty is a wonderful market. First of all, what we do with synthetic or what we do with natural fermentation based molecules is exactly where the beauty industry is going, we’re the best at it, and consumer brands live a lot longer than IP and patents do. So we think there's a beauty in having an amazing set of brands that are all really tracking, excellent with a consumer, backed by an amazing IP portfolio of the world's leading synthetic biology platform. So, we think that strategy is differentiated. And we think that strategy has traction right now to just continue to focus on execution.
Amit Dayal: Understood. That's all I have. Thank you so much.
Eduardo Alvarez: Thank you, Amit.
Operator: And we have time for one more question, which will come from Craig Irwin with Roth Capital Partners.
Craig Irwin: Good morning, and thanks for taking my question. So most of what I would have asked has obviously been addressed already. But I did want to dig into the guidance, the 250 in base revenue, $10 million higher that's a really good thing. Can you maybe update us in the context of the divested revenue from your strategic adjustments to the portfolio? I think you'd said previously that you were divesting about $30 million in revenue from 2021. It seems that those agreements actually were all bigger from a cash take and a total value standpoint is $30 million, still a good number to work with, or was there maybe slightly more revenue divested? But still, we increased guidance by $10 million?
John Melo: Yeah, Craig, great to have you on. And let me start and then have Han, fix whatever I say. So the first thing is, not only were all the value components of the deals better than we expected, we also did not sell-off the revenue we expected. So we had said, we think it's about $30 million based on 2020, 2021, the reality is off of 2021 base, we've actually sold off about $10 million, or slightly less than $10 million of revenue, call it $10 million of revenue. Han has given me the fives here. So about $10 million of revenue. And when you look at the growth rate, and you look at the additional molecules, and what we're putting in the market with these partners, we actually are growing the revenue pretty significantly in our F&F portfolio from 2020 to 2021. So it's actually a different outcome than we expected, Craig, which is one reason why now that the deals are done, we have a little more confidence in what the year, outlook looks like. And we're also seeing the orders come in, and the demand for these ingredients. So not only are we ending up with a different structure, that's better from a revenue perspective, but also we're seeing demand really robust from these partners for the molecules we sell.
Craig Irwin: That's really great to hear. So my next question, every phone call, I get a lot a lot of phone calls, everybody's asking, how big is Biossance every quarter? So we're left guessing a little bit by some of the metrics you share. I guess you didn't give an absolute number on this call, or the last couple of months or the prior call. Can you guys maybe update us on how big it is right now or how big it is you think it'll be this year? And what’s the trajectory really is at this point?
John Melo: I know Han will kill me, but I want to jump in, because he and I argue about this all the time. Meaning, whether we share it or not. And I can tell you, Biossance this year will be over $100 million in revenue. Biossance right now is already at a run rate of about $80 million annualized. And as you know, each quarter has been significant growth for us. And the fourth quarter is the biggest quarter by far. So that kind of gives you a sense of Biossance consumer in, total is, bigger than we expected this year. And I think you'll start to see that, consumer number get north of that 135 to 145 level this year. And that's really coming out of just robust performance of our new brand. So, -- and you saw in the reported results, that our margin for consumer -- our gross margin for consumer in the first quarter was outstanding. We see, again, just maintaining our robust performance and consumer right now.
Craig Irwin: Great. Thank you so much for taking my questions. Congratulations on the progress. 
Eduardo Alvarez: Thanks, Craig.
Operator: This concludes our question-and-answer session. I'd like to turn the call back over to John Melo, for any closing remarks.
John Melo: Great, Thank you. I really, really appreciate your help. And thanks, everyone for joining us today and for your continued interest and support. If we did not get to your question, please follow-up with our Investor Relations team, we will make sure to get back to you with a response. We wish everybody the best of luck for a healthy and successful rest of 2021. And we look forward to speaking with you during one of our upcoming investor conferences. Thanks everyone.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.